Operator: Welcome to the First Quarter 2013 Stanley Black & Decker, Inc. Earnings Conference Call. My name is Lorraine, and I will be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I would now like to turn the call over to the Vice President of Investor and Government Relations, Kate Vanek. Ms. Vanek, you may begin.
Kathryn H. White Vanek: Thanks so much, Lorraine. Good morning, everybody. Thank you, all, for joining us this morning for Stanley Black & Decker's First Quarter 2013 Conference Call. On the call, in addition to myself, is: John Lundgren, Chairman and CEO; Jim Loree, President and COO; Don Allan, Senior Vice President and CFO; and Jeff Ansell, Senior Vice President and Group Executive, CDIY. Our earnings release, which was issued this morning, and a supplemental presentation, which we will refer to during the call, are available on the IR portion of our website as well as our newly revamped iPhone and iPad app and mobile website. The replay of the call will begin today at 2:00 p.m. Replay number and access code are in our press release. This morning, John, Jim, Don and Jeff will review Stanley's first quarter 2013 results and various other matters, followed by a Q&A session. [Operator Instructions] As always, please feel free to contact me with any sort of follow-up questions that don't get covered during the Q&A portion. And as I normally have to do, we are going to be making some forward-looking statements during the call. Such statements are based on assumptions of future events that may not prove to be accurate, and as such, they involve risk and uncertainty. It is therefore possible that actual results may differ materially from any forward-looking statements that we might make today. We direct you to the cautionary statements in the 8-K that we filed with our press release and in our most recent '34 Act. With that, I will now turn our call over to our Chairman and CEO, John Lundgren.
John F. Lundgren: Thanks, Kate. Good morning, everybody, and thanks for joining us this morning for our first quarter earnings call. Just as a top line summary, despite a slow start to the year from a volume perspective, we exited the first quarter '13 with a lot of momentum that, you'll hear later from Don, gave us confidence that we will achieve our fiscal year previous guidance and targets from an income perspective. Revenues increased 3%. And that was largely due to the inclusion of Infastech, which closed in February. That acquisition actually took several months longer to close than normal as we waited for various Asian government approvals, so we didn't get as much benefit in the first quarter as we expected. But the extra time really allowed us to hit the ground running. And that integration is progressing very smoothly and on or ahead of schedule now that we've started. The organic growth initiatives that we've talked about in past quarters, they gained traction at an encouraging rate. But our core business organic growth did decline. Volume was down 1%. It was due primarily to a slow start to the North American outdoor product season, combined with temporary soft markets in Latin America and modest continued contractions in Europe. A bright spot was CDIY operating margin. It expanded 160 basis points despite flat organic growth. And we do remain on track for mid-single-digit organic growth for the fiscal year. And as Kate said, we have Jeff Ansell, our Senior Vice President and Group Executive, responsible for that business, to give you a little more insight on that a little later on in the call. Organic growth in Mechanical Security did -- was offset by some declines in Convergent Security in Europe. And as a consequence, our Security segment profitability was temporarily pressured by installation mix and volume declines, primarily focused in the Nordic region, historically a very strong region for the legacy Niscayah business. And moving on to Niscayah. The 2013 synergy estimate has been increased by $15 million. The total program estimate, we're now taking a second look at it to think that we may even be able to get more, not this year but next year in 2014, as we combine that business with the former Stanley Black & Decker Convergent Security business in Europe. 1Q diluted earnings per share of $1.03 was up 5% versus prior year. On a GAAP basis, EPS was $0.52. And as I suggested and Don will give you more insight, we are reiterating fiscal year organic growth EPS and free cash flow guidance. Let's take a quick look at our organic growth initiatives, which suggest that they're on track to contribute about 1 point, 100 basis points of organic growth for this year. During the first quarter, we invested an incremental $16 million in spending. And a lot of that was in feet on the street, 370 new associates hired with about 2/3 of them, 225, in the emerging markets, where we believe our greatest opportunity for growth is, growth and volume leverage rests. All of the initiatives are tracking to their 3-year goals. And as previously stated, that's $850 million in incremental revenue and $200 million in incremental profit. But let's take a look at some of the markets, drilling down into some of the geographies. We're going to spend less time on geographies in general than we do historically. That is in your appendix or will be in the appendix. But if you see all the emerging markets with the exception of one, a large one, showed very, very strong increases: Russia, plus 19%; China, 13%; Northeast Asia, 13%; Turkey, 12%; Southeast Asia, 7%. Latin America experienced, I'll say, what we believe is a confluence of temporary issues and they're different in each country: Brazil, Argentina, Venezuela and Colombia. But as a consequence, our largest emerging market group, Latin America, where we have very strong market positions, is actually down 2%, which we think is temporary. So that gave us a combined total of plus 2% in our total emerging market group, which is below where it has been historically and below where we believe it will be as the year progresses and certainly on an ongoing basis. Let me turn it over to Jeff Ansell who, as I said, is the man in charge of our CDIY business. And he's got some fairly exciting opportunities in his business that he's going to give you some more detail on.
Jeffery D. Ansell: Thank you, John. Looking at the CDIY results for 1Q. Total revenues, plus 2%, driven predominantly by the Powers acquisition. Organic revenues, flat. As you can see in the upper left, our PPT or our DeWalt business, positive. It was, however, pressured in the quarter due to intentional promotional timing change, moving promotions that occurred in Q1 2012 to Q2 and 3 2013 to match the building seasons in North America and Europe, intentionally done as well. Our cordless products performed very well in the quarter pervasively. From a CPG or a Black & Decker perspective, positive. From a power tool perspective, the outdoor season began late, and thus, pressured the results. But overall, positive results in the Black & Decker business, with growth primarily attributed to new products, including Matrix, Gyro, et cetera. In our HT&S business or our Hand Tool business, exceptional growth in our DeWalt Hand Tool range was really offset by weakness in Europe, Brazil and Colombia during the quarter. If you look at the center of the page, you could see the track record over the previous 4 quarters of, on average, mid-single-digit growth with this quarter being flat. The 2 reasons are outlined in this portion of the chart. Outdoor, given a 4-week late start due entirely to weather, put 2 points of pressure into the quarter. The Latin American business, as John referenced earlier, added 1 point of pressure. So sans those 2 things, we would've had consistent growth with previous quarters. We do feel good about the correction in the outdoor season, which I'll come on to in a few minutes. And the Latin American business was trending quite positive during the course of the quarter. It essentially just took a little longer to sell through inventories from 2012 than expected, about 6 weeks longer. So you can see the depiction, where January was down 15%; February, down 6%; March, rebounded very nicely to plus 15%. So really the first half of the quarter was pressured. The second half of the quarter was much more consistent with our previous results in Latin America. And finally, in the upper right portion of the chart, you can see that profit rates expanded by 160 basis points, driven by mix, cost synergies and promotional timing to a record 14.5% for the first quarter. Turning to the following page. I want to reiterate as strongly as I can our commitment and confidence to mid-single-digit growth for the year even with a flat first quarter. Why do we have such confidence? Well, they're depicted here; 5 reasons, primarily. First is around emerging markets. We believe we'll have continued strength in Asia and other emerging markets, which were up mid-double-digits in the quarter, along with the Latin American recovery that I just outlined, that's already begun. Additionally, we added 185 sales and product headcounts during the quarter. That investment, combined with investment in programming from emerging markets, will certainly improve our business sequentially as these resources and programs gain traction over the course of the remainder of the year. Number two reason for confidence is new product development. We have very robust power tool, hand tool and home product new product plans. The launch cycle for our new products really begins in March through October. So very little impact in the first quarter but much greater impact over the coming portions of the year. A couple of examples to highlight. In March, we launched the world's first cordless, brushless framing nailer. That product competes extraordinarily favorably with anything that exists in the marketplace. It is the first framer to use cordless battery technology. It does not require disposable fuel cells, which is a negative to the user. And it works in any climate, any temperature, which is also unique. Based on the initial response to that product, we have doubled and are working to triple our capacity for that product for the remainder of this year. Additionally, we have really strong momentum in our DeWalt Hand Tool range, up about 30%, as the trend line goes. And then our new steam products, which have led us to the #1 position in Europe, continue to drive growth. So things like that really give us great confidence. And in general, our cordless business outperforming the market while being #1 is another reason for confidence in the terms of new product development. The third area to outline is promotional planning. Programming for 2013 essentially starts in Q2 and Q3 versus Q1 of last year. We intentionally moved the timing of these promotions to coincide with the building season in Western Europe and North America because those investments in Q2 and 3 versus Q1 will provide greater ROI for our customers and for ourselves. So we feel very good about that, and that will add volume strength for the coming quarters. Fourth, the outdoor season. The analytics have told us recently that April would be the kickoff to this season. We've seen that to be true. Last year, the outdoor season began in week 10. This year, the outdoor season began in week 14. So essentially, we lost a month in the outdoor business, which occurred in Q1. The point would be, though, the duration of the outdoor season is the same length regardless of when it starts. It will run 5 months, the starting point varies. So we will now run from April to August versus last year, March to July. It's very consistent year-over-year. And we have very strong cordless and corded listings across our enterprise, so we feel very good about the uptick once the season does begin. And on average, temperatures globally were minus 11 degrees from where they were this time last year. So a lot of reasons why this season is starting late. And then fifth and final but not least is we have really strong revenue synergy plans continuing through the year. We will unveil for you one of these major or mega programs at our meeting in June. Subsequently, we have another mega launch in the third quarter. Both have confirmation with customers and channels in the market already. We just don't talk about those things till they're in the market. And we'll show you again 2 major programs, 1 in Q2, 1 in Q3, with a lot of activity there with really good traction. So in closing, strong profit improvement in the quarter, plus 2% total growth, flat organic sales. But with a track record of organic growth in the mid-single-digits as depicted on Q1, we believe we have really strong prospects in front of us. Organic growth headwinds in the quarter were clearly timing and clearly temporary. We remain committed to the growth elements in emerging markets with lag already recovering; with new product development really starting in March running through October; promotional activity as a tailwind in Q2 and Q3 versus a headwind in Q1; the outdoor season starting, as we speak, albeit later than last year; and really compelling revenue synergy plans that are built and ready to execute. So we reiterate our confidence in mid-single-digit growth through the remainder of 2013. Thank you.
James M. Loree: Okay. Thank you, Jeff. Exciting story there and all the more exciting because we really didn't even talk about a recovering U.S. housing market, which as we speak, is indisputably taking place. So no reliance on that, but certainly that's going on as well. Let's turn over to Security now. Overall revenues were $599 million versus $592 million a year ago. Organic growth was minus 1%. And despite an OM rate of 10.3% even lower than normal for first quarter, there was some very positive developments in Security during the quarter. Let's start with organic growth, which was very solid in several U.S.-centric businesses, including Electronic Security, which was up 3%; mechanical, which was up 5%; and access doors, which was up 4% organically. Europe, while not surprisingly under some volume pressure, will outperform its 2013 synergy commitment by $15 million, as John mentioned, thus protecting full year operating margin and ensuring that the Niscayah acquisition produces a solid return on investment. Now some of the CSS or Electronic Security volume growth has come at the expense of OM rate in the first quarter. And I believe we're at an inflection point where the exciting new vertical solutions in K-12 education, health care, financial services and retail are ready to be deployed. And with a differentiated value to be sold, we are training and reinforcing a value pricing mindset with the field, which will address this issue, in addition to some other margin improvement actions that the team is taking. So we expect to see flat deposit of organic growth for the year with overall operating margin slightly positive year-over-year and growing growth momentum heading into the second half and 2014. And moving to Industrial. Industrial is also pressured by Europe, especially in Industrial & Automotive Repair. Total revenues were $695 million versus $662 million a year ago. Organic growth was minus 1%. The profit rate was 14.1%. It was pressured by lower volume on the higher-margin European business, cost absorption issues and investment in the organic growth initiatives. Now as we take them business-by-business. Industrial & Automotive Repair organic revenues were down 4%. The U.S. was flat. Europe was down 9%. The good news here is the comps for both Europe and the total business ease as we get into second quarter and beyond, second half of the year as well. In the U.S., a strong Mac Tools performance was offset by weak government business and Industrial MRO business for the Proto business. I'd like to highlight one of our organic growth initiatives, the smart tools and storage, or otherwise known as Advanced Industrial Solutions, was up 5% organically, with CribMaster up double-digits on vending success in MRO. In Engineered Fastening, they were flat organically. The automotive business grew 6%, outpacing a 4% decline in global light vehicle production. The North America auto business was up 7%. Europe was up 2%, as auto-related market share gains offset declines in Industrial and a $5 million shipment timing issue, which was customer-driven, and pushed $5 million of revenue into the second quarter at the expense of first quarter revenue. Japan, with its difficult situation in the auto industry, was down 8% on a 16% light vehicle production decline. And as John mentioned, the Infastech acquisition closed on February 27 and the integration is progressing well. This exciting new addition to the portfolio will add significant growth potential through emerging market and electronics content. And then Infrastructure really was a bright light in the quarter as the offshore pipeline business drove 9% organic growth in CRC, a very positive sign as the U.S. onshore business is gaining cyclical traction and the offshore business continues to grow. So stay tuned for a very strong 2013 for CRC-Evans. Now I'll turn it over to Don Allan, who will take you through the financial aspects of the quarter.
Donald Allan: Thank you, Jim. I'd like to start on Page 10 and talk about our free cash flow performance for the first quarter. There's really 3 things that I'd like to point out. You can see that the performance was a negative cash flow of $132 million, slightly worse than our anticipated result. And let me walk through some of the details associated with that. The first of which is working capital. As most of you know in the first quarter, we tend to see a sequential decline in our working capital turns, which we did see from the fourth quarter to the first quarter from 7.5 turns in the fourth quarter to 6 turns here in the first quarter. That was about 0.5 turn lower than our expectation. And it's really being driven by a couple things. First of all, the lower overall volumes in the first quarter, as well as the timing of the revenue within the quarter. As you've heard in various pieces of the call this morning, January and February were very slow in certain parts of the company, and then March began to accelerate and we saw improvement. That timing dynamic certainly caused pressure to the working capital number. The good news is that's a temporary phenomena. We don't see that as any major concern for the year. And we still believe for the year, we will have modest working capital turns improvement year-over-year. The second item of note is other. Other is an area that always in the first quarter we see a large negative outflow. That's where annual rebates, bonuses, et cetera, get paid, and that impact is reflected there. And then CapEx, slightly higher versus the prior year, as we expected, due to certain growth initiative investments we're making, as well as other key investments around the overall strategy. We still expect CapEx as a percentage of revenue to be about 2.5% to 3% of annualized revenue this year. So the first quarter performance, although a little bit worse than we anticipated, we are not concerned. We believe that these are temporary issues that will subside and correct themselves in 2Q. And we'll still be able to achieve $1 billion of free cash flow for the full year. So with that, I'd like to move to Page 11 and talk about our guidance reiteration for 2013. We believe that we will still be within the range of $5.40 and $5.65 EPS for the full year. That'll be 16% to 21% EPS growth versus 2012. The factors on the left side of the slide indicate the items that we are reiterating associated with these certain assumptions within this range. The first is organic growth. We still believe we will grow 2% to 3% versus 2012. And the dynamics within that are consistent with what we said in January, where the core business will grow 1% to 2% and our organic growth initiatives will yield 1 point, but they will be dilutive by $0.15 to EPS. The cost synergies associated with BDK of $0.23 and carryover cost reduction actions of $0.15 are consistent with January. And then Jim touched on, as well as John, the Infastech acquisition. We still believe the accretion will be $0.20 for the full year and even with the 1 month delay in the timing of the closing. Our share repurchase has gone successfully with $0.37 benefit. That will be completed in the coming weeks and be behind us. And that's really associated with a large portion of the proceeds received from the HHI divestiture. Moving over to the right side of the page. There's a few items that are changing but do have a neutral impact. The first of which we have mentioned a couple times this morning that we believe the Niscayah cost synergies will be $15 million higher in 2013, now $50 million for the year. That is offsetting some of the volume and rate pressures that we're seeing in the CSS business. So a net neutral impact. And then there's 3 additional items that are neutral as well. A small change in our other net assumption, which is causing a positive of $0.05 versus our January guidance. Tax rate is still within the range of 23% to 24% but is trending towards the low end of the range, so that will be a slight positive as well. And then we have a little bit of pressure in our shares outstanding. So our outstanding share number is expected to be slightly higher. Moving to Page 12. A few more assumptions associated with our guidance. On the segment side, you've heard from both Jeff and Jim some of the assumptions associated with the full year. For CDIY, very consistent with what we said in January, still believe that our organic revenues will be mid-single-digit. We expect the OM rate to expand year-over-year as we see continued benefit of synergies, as well as incremental profit associated with volume and a slight offset associated with some of the investments related to our growth initiative. Security, similar story to January as well, a flat to low single-digit organic growth, although we have a mix in the geographies, where we'll see growth in North America with offsetting pressure in the European markets. We do expect our OM rate to expand slightly year-over-year, as we will execute more cost synergies related to Niscayah, as well as carry over some of the cost actions from last year. And then on the Industrial side, flat to low single-digit organic growth as well, similar dynamic in the geographies, where we see growth in North America. However, a retracting environment in Europe that's partially offsetting that. And then the OM rate will actually slightly decrease year-over-year in this segment, as we see a temporary impact from Infastech margins being below line average, as well as the investments in growth initiatives. The one last item I'd like to mention associated with guidance is looking at the first half and the second half associated with EPS. Due to the growth investments that we have engaged and made and started in the end of 2012 and the timing associated with the dilutive impact of that $0.15, the vast majority of that $0.15 dilutive EPS impact will happen in the first half of 2013 and will have a neutral impact from the growth initiatives in the back half of the year as they begin to turn accretive, and we expect them to be significantly accretive in 2014. That creates a dynamic when you look at the first half versus the second half, where we expect the second half to represent 60% of the full year EPS, i.e. the first half will be 40%. That's slightly off historical trends, where if you look at the last 3 years of our company, the second half tended to be between 56% and 58%. The main difference between that and our expectation this year is these investments in the growth initiatives and the timing associated with that. So overall, we believe that we'll continue to see -- we will see solid growth in CDIY in mid-single-digits that will outpace Security and Industrial as we begin to see growth in the residential end markets that's outpacing the commercial and industrial markets. So with that, to summarize the call, I'll pass it back to John Lundgren.
John F. Lundgren: Thanks, Don. So just to wrap it up, hopefully it's clear that we remain focused on driving our organic growth initiatives and efficiencies across the company, maximizing the synergies across our lines of business and certainly allocating capital in ways that provide excellent returns for our shareholders. We are reiterating full year organic growth EPS and free cash flow guidance. The organic growth initiatives are gaining traction and are on track to achieve our 3-year targets of approximately $850 million in organic revenue and $200 million in incremental operating profit. CDIY, as Jeff, I think, walked you through very clearly, will grow mid-single-digits organically for the year, fueled by new products, market share gains and a return to growth in our emerging markets. In Security, which has historically been among our higher-margin businesses, we expect profitability will improve throughout the year, as the Niscayah integration synergies and the benefits of a modified field sales model in North America begin to hit the bottom line. And as a consequence, we expect modest year-over-year improvement. So 2013 will be another solid step towards the achievement of our mid-decade vision with 2% to 3% organic growth and 16% to 21% earnings per share expansion. With that, I'd like to turn it over to Kate and Lorraine, and we'll start our Q&A.
Kathryn H. White Vanek: Great. Thanks, John. Lorraine, let's open up for Q&A.
Operator: [Operator Instructions] And our first question comes from David MacGregor from Longbow Research.
David S. MacGregor - Longbow Research LLC: John, I wonder if you could just talk about market share trends within the Security business, particularly the Convergent Security business.
John F. Lundgren: Sure. Within Convergent Security, we clearly lost a slight bit of share both in Europe and North America, some of which was programmed. If I start with the U.S., we've got some good installs and, as Jim suggested in his segment overview, some of those larger jobs came at the expense of margin. But even with that, we arguably have, I would say, very, very, very modest share decline in North America as we attempt to upgrade our mix and integrate the Niscayah business. And we remain highly focused on new vertical markets, such as financial services, government, education. If you'll recall, our largest single market right now or vertical market is retail. And of course, that's not a very, very robust market. So globally, we arguably saw some modest share loss, which we believe is temporary. Europe, as I suggested, our business remains very strong. We remain a market leader. We did suffer some share loss, particularly in the Nordic markets in Sweden, a legacy Niscayah stronghold. The rest of the business remains very strong. We remain strong in France. We've lost business in Spain, but we've gained share because we've lost business at a far slower rate than the market. And Jim, you might want to -- if you want to add anything on to that, please feel free to do so.
James M. Loree: I think when you look at the competitors and their various reports, there's no indication that anything but share loss and share gain at the margin is going on. There is no sweeping trend here. You have the largest competitor in electronic industry shedding some less profitable business. So their numbers are not terribly strong. You have nothing really meaningful going on underneath the 2 of us, the largest and us being the second-largest, and no real meaningful trends with the other electronic players, although there's some noise coming out of a few of them. But thus far, nothing to get too excited or concerned about. In mechanical, I would say that I think we're gaining share in the U.S., and that's a terrific turn of events there. Very recent turn of events, but that's a new business model that we've taken on, certainly seems to be paying some dividends in the early stages. So that's really positive. And then as John mentioned, the European situation, we do have a strong, strong business there, and we're very pleased with it. We have been shedding some business intentionally there, and the market is not terribly strong either. And I think John covered that very thoroughly.
Operator: Our next question comes from Dennis McGill from Zelman & Associates.
Dennis McGill - Zelman & Associates, LLC: I guess, it's kind of a related question. But I was hoping within the CDIY business, if you could maybe break out expectations domestically versus internationally, if you think about it for the year. And then as it relates to the promotional discussion that you talked about in the first quarter, any help that you can provide on what that impact was on the margin side that will be shifted towards 2Q, 3Q?
John F. Lundgren: Yes. Dennis, this is John. Jeff's going to take all but the very end of your question. We are not going to drill into margins forward-looking by segment or by business. I think we can talk to it arguably directionally. But Jeff, why don't you take those?
Jeffery D. Ansell: As we look at the full year, our expectation is that we'll have -- the North American marketplace will perform essentially at the range we provided, which is mid-single-digit growth with a plus or minus of 1 point either way but around mid-single-digit growth there. Some pressure in Europe, volumes are holding up pretty well as they did last year. But that business continues to be somewhat pressured, offset by strength in the Latin -- or the emerging markets, which will grow double-digits. So if you combine those 3 things, you have strength in emerging markets above our mid-single-digit total range. You have some pressure in Europe, as expected. And North America will perform about at the range of the total business.
John F. Lundgren: And Dennis, just retrospectively to touch on your margin question, as I say, we're just never going to do this prospectively. But we did report strong margins on flat volume. And the math would suggest that was due in part to the delayed promotional activity that Jeff talked about but in equal greater proportion to the strong product mix. Outdoor is a terrific business, but it's not among our highest mix businesses. So less outdoor, less promotion, really strong Professional Power Tool performance certainly helped deliver the very solid margins in the first quarter. Hopefully, that'll help you. Prospectively, we're just not going to go there on this call.
Operator: And our next question comes from Mike Wood from Macquarie Capital.
Mike Wood - Macquarie Research: Would you be able to talk about the rate pressures that you saw on CSS, what regions they were in? And also along those lines, how Niscayah is tracking versus your expectation from a sales perspective.
John F. Lundgren: Yes. We'll have Don take it. Mike, we've touched on that, but we'll try to elaborate.
Donald Allan: Yes, Mike. As Jim articulated and I touched a little bit on guidance, CSS is definitely seeing a combination of volume and rate pressure. There's certainly volume pressure in Europe, some of which we anticipated, some of which is a little bit above expectations. But the rate pressure is also in Europe because where we're seeing that volume pressure is in the Nordic region, which is the highest profitable business we have in the European CSS business. We believe it's temporary in nature, but it does require us to accelerate some of the cost synergies that we touched on through the call, and we believe that can quickly get us back to a level of profitability that we're comfortable with. In North America, we have a little bit of rate pressure as we saw some mix shift from larger installed jobs. But that's really us just continuing to focus on the vertical strategy in that business and ensuring that we're achieving the right levels of profitability. And we believe that's a temporary phenomenon, and a lot of that was actually planned for in Q1.
Operator: And our next question comes from Stephen Kim from Barclays.
John Coyle - Barclays Capital, Research Division: It's actually John filling in for Steve today. So in the release, once again you laid out the $15 billion sales target by mid-decade. Clearly, I would think that acquisitions are a big part of that or reaching that. And there are a few potential targets that are being shopped in the market. So I was wondering if you could talk a bit about how you're evaluating M&A and to what extent future tax planning plays in that analysis.
John F. Lundgren: Yes, I'll take that. I guess, 3 points. One is we've said the temporary -- the very publicly announced temporary hiatus in our acquisition program allows us to digest several of the recent acquisitions, particularly Niscayah and Infastech, and focus our efforts both in terms of organizational capacity and to a lesser extent, spending on our organic growth initiatives. That's number one. Number two, we hadn't -- we didn't have -- about 3 years ago, we didn't have Black & Decker on our M&A or BD target, but the opportunity to combine 2 phenomenal businesses with even greater synergies presented itself. And as an opportunistic proactive management team, we seized that opportunity. So that's a long way of saying were that to present itself again, it's not saying we won't do it. Tax planning is a tertiary thought as we look at our M&A and business development plan. Specifically, those who have followed us, we have a very careful screening. Strategically, is it 1 of our 4 identified growth platforms? And then financially, does it achieve our hurdles? Last but not least, do we have the organizational capacity to absorb it? All 3 of those things go into our thinking and our planning. And it will continue as this year progresses. We haven't in the past nor will we ever talk about specific targets. But this company -- acquisition, valuation and integration is or is rapidly becoming a recognized core competency in this company. And we've been given a lot of credit for that. We haven't forgotten how to do it. Long term, it will remain part of our strategy. But temporarily, it's on the back burner.
James M. Loree: And if I could just elaborate as well. We come at M&A more from a strategic point of view than we do trying to fill in some goal that we have for the mid-decade. So we're not out there just willy-nilly shopping around so we can get to $15 billion. What we do believe is that with the capital allocation approach that we have and with the revenue growth objectives that we have, which would be low double-digits total growth and then 4% to 6% organic long-term objectives, that we can get to something along the lines of $15 billion by the middle of the decade using our very publicly stated acquisition strategy, which is to continue to consolidate the tool industry, number one, which means strengthening our CDIY and IAR businesses through investments, and particular -- in this particular market, the accessories is the area that we really are underrepresented in. It's the most profitable area in the power tool business. And it's one where we're constantly looking for opportunities. These would tend to be bolt-ons in this particular space, but we will continue to pursue those. And then the other area that we're focused on is in emerging markets for the tool business because there's plenty of opportunity to continue to complement our organic growth strategy in tools with an acquisitive growth strategy. So protect the core through M&A, protect the tool business. And then we move to the growth platforms. And we have 4 growth platforms. We have Security, Engineered Fastening, Infrastructure and Healthcare. We'll start with Healthcare because we're only $170 million in Healthcare today, and we're not going to go out and buy a multi-hundred million dollar healthcare business that trades at 4, 5x revenue. That's just not what we're going to do. Healthcare, we may do some small technology bolt-ons that could help improve our value proposition, where we bring efficiency and safety and security to hospitals. But the other 3 areas are the ones that you'll likely to see M&A activity in the future. Engineered Fastening, we just completed one, so I wouldn't expect anything too soon there. And then you have Security and you have Infrastructure. Well, as you know, the Security businesses, those folks are busy digesting Niscayah and also getting their organic growth on track. So they probably won't be doing anything significant in the near term. However, as we look further out, I would expect to see some activity in the emerging markets and perhaps some activity targeted at industry verticals, such as retail, financial services, government, et cetera. And then finally, Infrastructure. And we will continue to see plenty of opportunities in Infrastructure, where we can find niche positions that are in secular growing areas that can be defended, that have high margins and high growth associated with them. So we would probably see some activity in that area on a prospective basis. But as we said last July, 12 to 18 months hiatus. Well, we're coming up on July, we've made some good progress, but we will not continue acquisition strategy above and beyond emerging markets until we get to the point where we can say definitively that the organic growth initiatives are working.
Operator: And our next question comes from Eric Bosshard from Cleveland Research.
Eric Bosshard - Cleveland Research Company: I see the investment in the discussion on organic growth across the business. I'm curious how you're balancing this thinking in the Security business, trying to grow Security, improve organic growth share there, while at the same time you're taking cost out. So if you could just talk a little bit about how you're balancing the spending there and especially thinking about Niscayah with the market share and the growth objectives.
John F. Lundgren: Yes. I think it's fairly simple. I think when you look at the model, Eric, the North American business, we are investing for growth right now. And the European business, we are rightsizing the cost structure to reflect the revenue reality. So that's where you see the cost out, the synergy increases, is all in Europe. And in North America, we're investing significantly in vertical markets, in particular, the vertical market growth strategy. But it's as simple as that. It's a bifurcated approach.
Eric Bosshard - Cleveland Research Company: And if I could just follow up, the assumption for the year sounds like you expect to make up the margin shortfall in that business through the rest of the year. What changes in 2Q to 4Q relative to 1Q, especially in light of the investments you're making?
John F. Lundgren: Yes, I think I'll take it. Jim can elaborate if he'd like. I touched on that in my comments, and I'll try to clarify. Two things. Obviously, Niscayah increased synergies in and of themselves will make up mathematically for some of the volume shortfall and some of the margin shortfall. Again the Niscayah synergies get -- they get greater every quarter, the run rate not smaller. Second, Jim alluded to it in his segment discussion. We've modified our, if you will, go-to-market approach via distribution in North America on the mechanical side of the business. And early signs are it's been tremendously successful. And we think that's going to continue. A lot of other moving parts. And as Don talked about the total company, within Security, Brett would talk about a lot of puts and calls that are neutral. But strong Mechanical Security business, as well as Access business getting stronger and continuing to put a lot of points on the board from Niscayah's cost synergies, we do believe will get us back to where we've been. And Eric, you've followed this business a long time, it historically has been a very, very profitable business. And the math with Niscayah was low -- very low single-digit operating margin when we acquired it. It is double-digit operating margin, and it's going to get to fleet average within a year or so, and that's just a really big piece of it.
James M. Loree: Yes. And I know that when we talk about investments in verticals, it sounds kind of generic and it doesn't really have a lot of life to it. But when you start talking about the individual verticals and what we can bring to the -- what we can and are bringing to the market right now, it's very obvious that we have solutions that are differentiated in a number of these verticals. Just take K-12, for example, where we have the full array of mechanical, electromechanical and electronic solutions to bring to a K-12 scenario. And every school board in the United States is evaluating their security right now. We have deployed an army of people around that opportunity. That will come to fruition at some point in time. We are the best positioned security company in America to deal with that opportunity. In financial services, we have the best iris identification technology in the world, exclusive rights to the best iris identification technology. We're in discussions with major financial institutions about how we help them create branches that are keyless branches using iris identification technology. At some point, that will likely come to fruition. And I could go on and on. In retail, what we're doing in retail, what we're doing with government, what we're doing with the RTLS technology that we acquired from AeroScout. But if you start to really delve into these solutions, our opportunity at this point is to commercialize them. And that's what the Security people are focused on, and that's why we're investing in North American Security. And oh, by the way, once we get these solutions nailed down in North America, the next wave after that is going to be to take them to Europe. So right now, we're getting Europe rightsized, so it's profitable and robust, and we have strong management team in place, which we're well on our way to doing. And then a year or 2 from now, there will be a wave of solutions, these same solutions coming into Europe. And then finally, we're investing in the emerging markets in Security. Our business this year will be about $100 million in Security in the emerging markets. The Tong Lung acquisition, which was quietly done, and the GMP [ph] acquisition, which was done several years ago, have really provided us with outstanding manufacturing and design capability. And we recently completed a series of EN products, which are the European-type standard products that play much more successfully into the emerging markets. Now we have Chinese manufacturing capability. We have Taiwan design capability. And all of that is being assembled for our frontal attack on several of the major emerging markets. So growth in Security is coming and investments are being made. And it's an exciting time, I think, for the Security business. But we're at the threshold of it at this point.
Operator: And our next question comes from Jeremie Capron from CLSA.
Jeremie Capron - Credit Agricole Securities (USA) Inc., Research Division: Just a question on the Hand Tools business. You talked about strong performance of the new DeWalt line. So I wonder what is it that is actually holding it back over the past couple of quarters and if you had any comments on market share around this.
John F. Lundgren: Yes, certainly. Jeremie, as indicated, the power tool brand usage in our Hand Tool business has really been positive, while the core Stanley business remains very strong globally. The challenge -- and from a share perspective, we believe our share has increased in Hand Tools over the past 3 years. So from a share perspective, quite positive. Introduction of power tool brands, our power tool brands at Hand Tools have been predominantly incremental. The pressure that business has faced in the past quarter and probably past couple of quarters is high exposures -- relatively high exposure to Europe, which is a strong hand tool market for us that really has been pressured in that business like every other. So that really has offset some of the growth we've had from a power tool brand perspective in our Hand Tool business. But we continue to make progress from a share perspective. And we expect, too, that business will grow consistent with the rest of the business as guided already for the remainder of 2013.
Operator: And our next question comes from Liam Burke from Janney.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: You highlighted margin synergies. And with a few exceptions, you seem to be on track both from a revenue and margin side. CapEx is roughly in line in the 2% to 3%. Are you comfortable that you're making the progress you need to meet your ROCE target of 15% or objective of 15%?
Donald Allan: Yes, this is Don. I would say yes, we are comfortable. I think we had mentioned, I believe, back in January that one of the, if you want to call it, a benefit of us taking this temporary tactical pause around M&A is that it allows us to focus on enhancing our return on capital employed. Because what you've seen over the last 5 years, in particular, or even before that, as we did acquisitions, that before they get integrated into our existing core businesses, they have a lower return and they get to the range of 12% to 15% return on capital employed by somewhere between year 3 through 5 post acquisition. That's been a bit of a, if you want to call it, drag on that overall return of the company. But still the return of the company has been around 10% in that time frame, which is certainly significantly above our cost of capital. But we wanted to be closer to 15%, as you mentioned, by the middle of this decade. This pause allows us to make a lot of progress. We think we can make about 100 to 150 basis point improvement this year. The other great benefit of the organic growth initiatives over the next 3 years is minimal investment to make that happen. And a return of $200 million of operating margin by year 3 really does gives us a dramatic boost on those returns as well.
Operator: And our next question comes from Peter Lisnic from Robert Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Just on the positive trends you noted on the business model shift at Mechanical Access. Can you give us a little flavor as to how that translates into maybe a margin progression this year but more importantly what that means longer-term for the business from a return perspective? And potentially, does it enhance the growth aspects of the platform as well?
John F. Lundgren: Yes. Peter, I'll say for the third time this morning, we're not going to project margins by subsegment of business going forward. It does us no good and we don't -- we're not sure it helps you that much. I understand the desire from a modeling perspective. What we can say, and I think Jim articulated this quite well, we were slow to shift our model because we had something that was working. But it absolutely will be a catalyst for more organic growth in the North American Mechanical Security market. We were missing a lot of opportunity in terms of both specification and with mid-price point products with our purely direct model, which served the high end extremely well and the restocking captive customers extremely well. But it left us a little void in a lot of areas where we felt it was absolutely essential we have greater penetration to grow the market. So at the end of the day, a better mid-price -- a mid-price point product offering, broader distribution will absolutely be a stimulus for organic growth. And we would not do it if we didn't think it was going to be incremental or positive vis-à-vis margins. But we're certainly not going to forecast that for one small segment of one segment of our business.
James M. Loree: Yes, it's an interesting time when you look at what's going on in distribution in Mechanical Security because these distributors, as they went through tough times, they sort of doubled down on growth and driving organic growth themselves and really started pushing the envelope up into the electromechanical and even into electronic, in some cases. So our business model plays very, very nicely into that trend. And the second thing I would say is while we were farming our installed base very effectively, the armies of distributors that are out there that are hunting in the commercial construction area are absolutely winning that war. And so therefore, if you don't play in that arena with them, you don't get the opportunity to participate in the commercial construction growth that's ahead of us. And so there's several other reasons for doing what we did, but those are 2 good ones.
Operator: And our next question comes from Jeffrey Kessler from Imperial Capital.
Jeffrey T. Kessler - Imperial Capital, LLC, Research Division: And speaking of Mechanical Security, at the ISC show, you demonstrated, what may not be your first but it was certainly the first that I saw it demonstrated, integrated a [indiscernible] a networked mechanical door that would be networked with CSS. Can you speak a little bit about the, if you want to call it, the convergence of getting your mechanical and your electronic businesses together particularly at the door?
James M. Loree: Yes. I mean, that's definitely a thrust of ours. You saw the product, that is going to be the first of...
Jeffrey T. Kessler - Imperial Capital, LLC, Research Division: I think it was like the ESA [ph] to the ELA [ph], or something like that.
James M. Loree: Yes. It's called the EL. The EL lock, which will be introduced en masse in May to the marketplace, was kind of spotlighted at the show. And it'll be at a price point that no one else can even get near. And that's with sourced manufacturing to begin with, that can be brought in-house if we so desire at some point. But yes, that's a key part of our strategy. It certainly plays to many of the verticals that we're looking at. It also gives us quite an edge with respect to what I was just talking about with the independent distributors and the fact that they are moving into the electromechanical and electronic realm. And that comes in both a networked and a non-networked version. And we're expecting pretty good big things. I didn't really talk about that as part of the equation for Mechanical Security growth as we go forward, but that's certainly out there as something that can help drive it.
Kathryn H. White Vanek: Great. Well, I think that wraps us up, Lorraine, correct?
Operator: That is correct. I am showing no further questions.
Kathryn H. White Vanek: Well, thank you, all, so much for dialing in today. If you have any questions, please just send me an e-mail or give me a call, and I'll talk to you all soon. Thank you.
Operator: Thank you. And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.